Operator: Hello and welcome to Groupon's First Quarter 2023 Financial Results Conference Call. On the call today are our Interim CEO, Dusan Senkypl; and CFO, Jiří Ponrt. [Operator Instructions] As a reminder, today’s conference is being recorded. Before we begin, Groupon would like to remind listeners that the following discussion and responses to your questions reflect management's views as of today, May 10, 2023 only and will include forward-looking statements. As a result may differ materially from those expressed or implied in the company’s forward-looking statements. Additional information about risks and other factors that could potentially impact our financial results is included in our earnings press release and in our filings with the SEC. We encourage investors to use Groupon’s Investor Relations website at investor.groupon.com as a way of easily finding information about the Company. Groupon promptly makes available on this website the reports that the Company files or furnishes with the SEC, corporate governance information and select press releases and social media postings. On the call today, the company will also discuss the following non-GAAP financial measures, adjusted EBITDA, non-GAAP SG&A, free cash flow and FX-neutral results. In Groupon’s press release and our filings with the SEC, each of which is posted on our Investor Relations website, you will find additional disclosures regarding these non-GAAP measures, including reconciliations of these measures to the most comparable measures under U.S. GAAP. Unless otherwise noted, all comparisons are provided on an FX neutral basis. And with that, I'm happy to turn the call over to Dusan.
Dusan Senkypl : Hello and thanks for joining us for our first quarter 2023 earnings call. It's a pleasure to be with all of you. In addition to today's prepared remarks, I encourage you to review our shareholder letter, press release and 10-Q, which contain more detail on our Q1 results. On our call today, I will cover four key topics. First, what I've learned during my first days at Groupon. Second, the challenges that we face as a company and our new transformation strategy that our team is executing on to address our challenges and make the most of our opportunities. Third, the highlights of our Q1 performance. And lastly, our outlook for 2023. Before I get started, I would like to briefly introduce myself. I'm an entrepreneur by trade, and I have created several global ecommerce and technology products used by more than 250 million users. I built Pojisteni.cz and NetBrokers Holding, a dominant fintech player with more than 400 employees, which was bought by a German media group, Bauer Media, in 2018. All my projects were bootstrapped, which means that it's my nature to build highly effective, agile and performance oriented companies. In 2015, I cofounded Pale Fire Capital, an entrepreneurial investment firm that has grown rapidly to approximately $1 billion in net asset value and is currently Groupon's largest shareholder, with ownership of approximately 22%. Its private equity portfolio includes almost 30 companies, including several marketplace companies. At Pale Fire, I served as a Chairman and CEO. And was responsible for leadership, strategy development, organizational design, go-to-market and product development. Pale Fire also has a track record of successful transformations, including its investment in Aukro, which is Central and Eastern Europe version of Ebay.com, which increased the GMV by 2.4x in three years while maintaining healthy profitability. I'm really proud of the approach we developed at Pale Fire to drive business transformations, and I am excited to bring my experience to help lead Groupon. Now, the reason I am telling you this is that my experiences make me what I am today. You will find me a leader who keeps things simple, keeps customers at the center of everything, short term patient and long term patient, is not afraid of challenges and determined to beat them. I understand your disappointment with Groupon, and I want nothing but to be honest, transparent and to deliver results. During my first 40 days as a CEO, I've listened to and learned a lot from our employees and our partners. I immersed myself into our products and technology, into our value proposition, and into how we meet the market's needs. Through all of these conversations, I've been struck by the opportunities we have internally to operate in a much more efficient and productive way. We can generate much higher output with the same or even less resources. My initial focus is to execute on these opportunities so that we have a solid base for future growth. I also acknowledge that we are facing challenges that we need to address and thus you are all looking for responses from us. We recognize that turning our business around is going to be tough and that it won't happen overnight. This requires a focused transformation and requires that we leverage all of our assets. We have developed our transformation strategy by drawing inspiration from, a, the principles of building a successful Internet marketplace; b, automate Groupon a past success and c, a Groupon clone in the Czech Republic which successfully completed its transformation from a daily deal discount flash site to a destination experience marketplace. Our transformation plan is built on eight strategic pillars that will provide focus, organize our teams, and drive momentum. These are first, fix the supply side of our marketplace. Second, raise our product experience to modern marketplace standards. Third, tune our marketing engine towards lower funnel performance channels. Fourth, assemble a high performance team with a focus on operational excellence. Fifth, rebuild our organization structure, business processes and management systems. Six, create an efficient cost structure. Seven, leverage our business lines to support local and eight, improve our financial flexibility. Each of these pillars are detailed in our shareholders letter, but I will say a few words on each here, one by one. Firstly, fix the supply side of our marketplace. Everything starts with supply. If we vendorize supply, demand will follow. Our plan to fix the supply side of our marketplace involves, reinvigorating our merchant value proposition, returning to Geo focus, and recommitting to a sale driven marketplace. Groupon needs to improve its value proposition for merchant partners, as its current approach of heavy discounts and expensive deal margin structure has led to increased churn of its supply base. To strike a better balance between consumers, merchants and Groupon, the company aims to offer more flexible and dynamic partnership solutions that meet merchants individual needs and marketing goals. This process will take at least 12 months to transition and achieve the right balance. Groupon has refocused on a geo targeted approach to match local demand with local supply. Performance varies significantly across [inaudible] 30 markets, with some growing and others shrinking double digits year-over- year. By prioritizing merchant acquisition in our top five North American markets, we see early encouraging signs and believe we can execute more consistently and drive better performance as we return focus to running our marketplace at the local level. Finally, we consider our salesforce critical for securing unique supply on our platform. But in 2022, sales for compensation exceeded gross profit on most of our new supply in North America, with only 20% of new local deals selling more than 10 units. To improve our ROI, we are unifying our sales leadership, implementing a new compensation plan, and centralizing our global sales operations. Our second strategic pillar is raising our product experience to modern marketplace standards. Improving the technology infrastructure is a key part of Groupon's transformation strategy to enhance customer and merchant partner experience. The current product offering falls short of modern marketplace standards, resulting in an unattractive ROI despite high resource allocation, Groupon has taken steps to right size the tech organization and increase focus on product development, including an ambitious hackathon initiative to quickly launch product improvements such as gamification, personalization and generative AI assisted deal creation. Our third strategic pillar is tuning our marketing engine to focus on lower funnel performance channels. In Q1, Groupon improved the efficiency of our marketing spend by focusing on lower funnel performance channels and shifting away from incrementality to ROI targets. This resulted in a decrease in marketing spend as a percentage of gross profits, up gains in efficiency, especially in search engine marketing. Groupon is now focused on improving returns in performance channels before returning to mid and upper funnel channels. Our fourth strategic pillar, assemble a high performance team with a focus on operational excellence. Attracting top talent is a crucial to Groupon's success, and the company is seeking individuals who are detail oriented, proactive and customer focused. Groupon has recently hired talent through Pale Fire Capital's Network in the Czech Republic and is also actively recruiting both inside and outside the company. The goal is to create a winning team passionate about Groupon's mission and committed to driving change. Our fifth strategic pillar, rebuild our organization structure, business processes and management systems. Groupon is prioritizing operational excellence and is making changes to ensure a strong management team and operating systems are in place. The organization is becoming flatter and leaner to enable faster execution of high priority projects, breaking down silos and implementing a performance culture with metrics and KPIs. We have also improved our management system by reducing meetings and implementing a modern project management tool. Our 6th strategic pillar, create an efficient cost structure. Groupon sees opportunities to improve efficiencies through automation, simplification and implementation of AI tools to reduce costs. The company is reviewing large and small categories of spend and is on track to exit the year with a non-GAAP SG&A run rate of $290 million. We believe we can improve our bottom line by implementing proper organization structure and mindset of frugality. Our 7th strategic pillar, leverage our other categories to support local. We plan to shift our merchandising strategy in goods and travel categories to complement our experiential value proposition and mission to be the ultimate destination for local experiences and services. In goods, we will offer seasonal trends and inspirational gifts, while travel will pursue experiential travel by curating packages that include instructions and accommodations. Our goal is to create a portfolio of experience offerings that balance acquisition, retention, engagement and margin to unlock the synergy potential of our horizontal marketplace business model. Our 8th strategic pillar, improving our financial flexibility. Groupon has taken steps to improve its financial foundation through a January restructuring announcement and March amendment to its credit facility among other plans. The company believes it will have sufficient liquidity to meet its obligation in the next year and is exploring strategies to further enhance its liquidity position such as cost savings, additional financing and potential monetization of noncore assets. Let's now look back at Q1. We had a disappointing quarter for both revenue and adjusted EBITDA, while Jiří will provide more details later. Our first quarter, 2023 billings and revenue were down 14% and 21% year-over-year. We generated negative $5 million in adjusted EBITDA and free cash outflow of $86 million. These results indicate the business is facing serious challenges that we must address as a company and underscore the need to implement a significant and urgent transformation. Lastly, our outlook for 2023 and beyond. 2023 will be an important year. We have a lot of work to do and the results will take time. I will make sure that in 2023 we transform the company and laid the foundation for our long-term success. As I spoke about earlier, a key objective for the long term health of the business is to fix the supply side of our marketplace. Finding the right balance with our merchant partners will make our business more healthy and sustainable over time. Within this long-term context, we took a realistic view on the 2023 business. As a result, I expect our second quarter revenues to decline year-over-year at a similar rate to what we observed in the first quarter. And while we expect our third and fourth quarter to decline year-over-year, I would expect to see a slight improvement in the rate of declines in each quarter. As our transformation strategy takes hold, we expect to see an increase in year-over-year local billings by early 2024, though our revenue growth trends may diverge from our local billing trends, depending on the trajectory of our other categories and the timing of our transformation strategy. When I next communicate in about 90 days, I intend to provide more details to help you monitor our progress towards our priorities. I am a firm believer in transparent communication and dialogue with all stakeholders. I strongly believe in delivering on our commitment and doing what we say we will do. I will therefore strive to be as open as possible in discussions with all of you to provide regular updates on our progress towards our strategic, operational and finance goals. With that, I will turn it over to Jiří to provide some insights on our financial performance. But before I do that, let me provide a few words of introduction. Jiří Ponrt is a highly regarded leader, evidenced by his successful career as CFO of Alza.cz, one of the biggest ecommerce players in Central and Eastern Europe. He brings to Groupon the experience and tenacity we need to help us fulfill our potential. I've worked closely with him during our time together at Pale Fire, and I look forward to partnering with him as he takes on the role of CFO.
Jiří Ponrt : Thanks, Dusan. And thank you as well to everyone who is joining us today. It's a pleasure to be here speaking with you. I will use my time today to provide further insight into, our first quarter operating and financial results, progress on our cost saving actions, and factors to consider for the remainder of the year. Before I begin, I would like to briefly introduce myself and share a few initial observations I have on our business. I joined Groupon less than a month ago. Before that, I acted as a group CFO of Pale Fire Capital. During Q1, 2003, I helped the board with its oversight to our finance function, so I had some opportunity to orient myself to the Groupon finance department. A big part of the Groupon CFO scope is familiar to me, as I active for more than seven years as a CFO of Alza.cz, one of the major Central European ecommerce players with a turnover of about US $2 billion. During my time with Groupon, I've learned that there are legacy system and purchases from the company's quick and acquisitive growth, at its onset that I believe can be further streamlined. So my priorities, apart from more focus on management and decision making, will be focus on liquidity and cash flow management, simplification of the structure and purchases, as well as our alignment across departments and automatization of purchases. So let's jump into the consolidated first quarter results. We deliver $396 million of global billings, $122 million of revenues, $105 million of gross profit, and negative $5 million of adjusted EBITDA. First quarter free cash outflow was $86 million. And we ended the quarter with $164 million in cash, including $48 million drawn on revolver. And we had over 18 million active customers worldwide. Turning to our local category, consolidated local billing were $316 million, down 8% compared with the prior year. North America, we deliver local billings of $222 million, down 11%, and had 9 million active local customers as of March 31, 2023, down 2% sequentially and 19% year-over-year. International, we deliver local billings of $94 million flat compared with the prior year, and had 5 million active local customers flat sequentially and up 2% year-over-year. Moving to our Goods and Travel category, in the first quarter, Consolidated goods billings were $46 million, down 35% and consolidated travel billings was $35 million, down 11%. Turning to our operating expenses, first quarter GAAP SG&A was $102 million and down 20% compared with the prior year as we begin to see the benefits of our recent cost saving actions reflected in our financials. Our non-GAAP SG&A which excludes stock-based compensation and depreciation and amortization, was $92 million, down 17% year-over-year. As a reminder, we completed our migration to the cloud in the first quarter of 2023 and we remain committed to significantly reducing our cloud cost over time, which will be complemented by lower payroll expenses resulting from the cost saving actions we announced in January. During the first quarter 2023, we incurred $9 million in onetime pretax charges related to our restructuring plan. Marketing expense for the first quarter was $25 million, or 24% of gross profit. As we continue to deliver improvements to our fundamental marketplace experience, we believe we can get more out of our marketing dollars. Our goal is to sustain our marketing expense to below 25% of gross profit in 2026. Turning to our cash position, we ended the quarter with $164 million in cash, including $48 million drawn under revolver. In the first quarter, we had net operating cash outflows of $76 million, including $10 million onetime payment for [inaudible] termination of our Chicago office lease. As a reminder, we typically experience networking output in the first quarter of the year due to seasonality and abnormal merchant payment cycles. We also repay $27 million of borrowings under our revolving credit facility during the quarter. In the second half of 2022, we completed a majority of cost actions related to phase one of our restructuring plan, which is expected to remove $150 million of cost from the business. And earlier this year we begin executing of the second phase of our plan and are on track to substantially complete these actions by the end of Q2. In total, we expect these cost actions to reduce our expenditure by $250 million. These cost actions as well as our March amendment to our credit facility examples of standard Groupon had taken towards improving its financial foundation to support our transformation this year. With these actions and additional management plans, we believe we will have sufficient liquidity to meet our obligations as they become due over the next 12 months. Groupon continues to hold a 2.29% equity stake in the privately held global payment provider SumUp. As a reminder, we reflect the value of this stakes as well as other minority investments on our balance sheet. The current value for this investment is approximately $120 million. While there is no public market for SumUp securities at this time, if an opportunity arises to monetize this asset, we would consider this possibility too. To help you with sale models, let me walk you through how these savings are expected to translate to our P&L during 2023. We began to see these cost savings during the first quarter of 2023 and estimate full year non-GAAP 2023 SG&A to be approximately $320 million. Beyond 2023, we will be able to lower our annual non-GAAP SG&A run rate expenses to be approximately $290 million. Given we are in the midst of executing our turnaround strategy, we are not providing formal guidance at this time. In light of this, we are providing more details on our expectations for the year. As Dusan mentioned, we expect our second quarter revenues to decline year-over-year at a similar rate to what we observed in the first quarter. And while we expect our third and fourth quarter to decline year-over-year, I would expect to see a slight improvement in the rate of declines each quarter as our transformation strategy takes hold. We expect to see an increase in year-over-year local billings by early 2024, so our revenue growth trends might diverge for our local billing spend depending on the trajectory of our other categories and the timing of our transformation strategy. Turning to profitability, we do expect to generate positive adjusted EBITDA for the remainder of the year as we start to realize the benefits of our restructuring actions more meaningfully. On free cash flow, our ability to convert positive adjusted EBITDA to positive free cash flow will depend on the timing of our working capital cycle and other cash expenses. As a reminder, our working capital has historically been impacted by seasonality, with our first quarter generally experiencing a large negative working capital impact and our fourth quarter experiencing positive working capital. Given our current equity market valuation, our SumUp stake, and our operating plan focus on unlocking both top line growth and expense savings, we believe we can create value for all of our stakeholders as we continue to execute our strategy of transformation. Thank you for your time today. With that, we would like to open the call up for your questions. Operator?
Operator: Operator Instructions] We'll take our first question from Trevor Young with Barclays.
Trevor Young: Great, thanks. Two, if I may. First one just any color on North America and international local billings in March and so far into 2Q. I think the data points that we had last print were that January and February were trending around 46% of 2019 levels. And it looks like full quarter results was a little bit softer than that, but maybe some FX noise in there. So just trying to understand whether trends deteriorated in March and where we are so far in April. And then second question. Appreciate the comments and the letter evaluating strategies to enhance liquidity. Investors naturally migrate to that SumUp stake. And I realize there's no active market for that. But can you just help us understand if there's any restrictions or impediments that would prevent you from monetizing that in the next three to six months if there were a sufficient bid from some party?
Jiří Ponrt: Okay, so this is Jiří. Hi, about the local billings in North America, we have for Q1, US $222 million which was down 14% quarter-over-quarter and 11% year-over-year. And to your second question about balance sheet and SumUp and so on. Yes, we can imagine potential monetization of certain noncore assets including our stake in the SumUp, ownership of gift card or our portfolio of intellectual property the same way as we are pursuing additional cost actions or seeking additional financing from both public and private.
Operator: We'll take our next question from Eric Sheridan with Goldman Sachs.
Eric Sheridan: Thanks so much for taking the questions. Two, if I could, just coming back to the eight strategic pillars you laid out, I wanted to hone in on number two and number three. So in terms of how you might want to invest and arc or change the product experience to align it with modern market place standards. I'd love to go a little deeper there on what you see as some of the key white spaces to attack or areas of investment to possibly pursue. And then the second would be your third pillar. How should we be thinking about sort of arcing or changing the marketing engine inside the company to align more closely with lower funnel performance channels? How should we think about that in terms of either investments that need to get made or possibly changing some of the user funnel and user conversion pathways that the marketplace has had over time? Thanks so much.
Dusan Senkypl : Thanks for the question. Regarding the first part raising our product experience to modern marketplace standards, one of the first initiatives which we started when I joined the Groupon is that we launched Hackathon Project, which includes a big part of our engineering team and which is developing several major changes to our user experience which we have on our website. And we are making sure that pretty much all processes which we have on Groupon will be smooth and with less friction than we have right now. And one example of change which we are developing is for example the use of generative AI which we will be using for our self-service for our merchants but also for our sales team. Right now the whole process requires several humans achieve and let's say the quality of deals which are generated through self-service in general it's lower or they are lower performing comparing to deals which are created by agents and using the AI we are able based on the website of the merchant and experience from our own dataset and the similarly, some of the similar campaigns from similar categories to generate the output which will be much higher quality, which means that the whole set up for merchants will be much more simple. And we have like many more examples in development on checkout page and experience of customers on the website. So this is the first pillar. The second question on marketing engine and tuning up the engine towards the lower funnel performance channel, we are kind of revisiting the setup of all performance marketing channels which we have and we are trying to put there a little bit more of a geo focus and little bit more measurements of performance in, as a small PC, small locations so that we can adjust the spend and spend, let’s say higher spend towards the campaigns and deals which are higher performing versus the rest. Thank you. And this does conc conclude today's presentation. And the question-and-answer session. Thank you for your participation. And you may now disconnect.